Operator: Good morning, and welcome to Fluor's First Quarter 2025 Earnings Conference Call. Today's call is being recorded. [Operator Instructions]. A replay of today's conference call will be available at approximately 10:30 am Eastern Time today, accessible at Fluor's website at investor.fluor.com. The web replay will be available for thirty days. A telephone replay will also be available for seven days through a registration link also accessible on Fluor's website at investor.fluor.com. At this time, for opening remarks, I would like to turn the call over to Jason Landkamer, Vice President, Investor Relations. Please go ahead.
Jason Landkamer: Good morning, and welcome to Fluor's 2025 first quarter earnings call. Jim Breuer, Fluor's Chief Executive Officer and John Regan, Fluor's Chief Financial Officer are with us today. Fluor issued its first quarter earnings release earlier this morning and a slide presentation is posted on our website that we will reference while making prepared remarks. Before getting started, I'd like to refer to our Safe Harbor note regarding forward-looking statements, which is summarized on slide 2. During today's presentation, we'll be making forward-looking statements, which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences in our 2024 Form 10K and our 10Q, which was filed earlier today. During this call, we will discuss certain non-GAAP financial measures. Reconciliations of these amounts to the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.floor.com. With that, I'll now turn the call over to Jim Breuer, Fluor's Chief Executive Officer.
James Breuer: Good morning, everyone, and thank you for joining us today. Please turn to slide 3. I would like to start by thanking everyone who joined us last month in Indianapolis and on the webcast for our strategy update as we roll out the next chapter of our strategy for the period 2025 to 2028. As a quick recap, this slide provides a high level look at how this strategy is going to evolve from Chapter one, fix and build, to Chapter two, grow and execute. Under reinforced financial discipline, our focus will shift from revitalizing the capital structure, which we've accomplished to generating cash and earnings. As we discussed a few weeks ago, we will continue to pursue fair and balanced contract terms, maintaining our robust pursuit and risk principles while focusing on commercial acumen across all levels of the company. As we grow across the portfolio, we will focus on target markets in our three segments and consider bolt on acquisitions that add specific technical capabilities in certain areas. And finally, at Fluor, our high performance culture is centered around project delivery. This is how we create value for our stakeholders. Strong and healthy client relationships are a critical element to building trust and delivering results. We will continue to develop and promote these areas of excellence to ensure we remain at the forefront of our industry. Now let's turn to our operating review beginning on slide 4. Revenue for the first quarter was $4 billion. Consolidated new awards for the quarter were strong at $5.8 billion led by two significant awards in Urban Solutions. Our book to burn ratio for the quarter was 1.5. New awards were 87% reimbursable and our total backlog is now $28.7 billion of which 79% is reimbursable. Our backlog reflects significant awards in life sciences and infrastructure offset by a reduction in scope on two large projects. Moving to our business segments, please turn to slide 6. Urban Solutions, our largest and most diverse business reported profit of $70 million in the first quarter. Results in this segment reflect the significant ramp up of execution activities with the new awards secured over the past 18, including several life sciences and metals projects. New awards for the quarter were $5.3 billion compared to $4.9 billion a year ago. Ending backlog now at $20.2 billion represents 70% of Fluor's total backlog. Now please turn to slide 7. ATLS had another very strong quarter and continues to build our execution capabilities to meet client demand. Last month, we were pleased to announce a new award from one of the world's leading pharmaceutical makers to provide EPCM services for the next phase of their multibillion dollar investment. This combined program is a world class endeavor, underpinned by the close collaboration between Fluor, our customer and our execution partners. It is also a great example of Fluor's continued commitment to the life sciences market. In fact, over the past 50 years, we've worked on 1,500 life sciences projects for clients in 30 countries. This business line is also making significant advances on existing projects. For example, at our biotech project in Denmark, earlier this month, we successfully doubled bioreactor capacity. When fully operational, this will be the largest biologic facility of its kind. We're excited about the opportunities that lie ahead for ATLS. Over the next few quarters, we see opportunities in pharmaceuticals and advanced manufacturing. In the semiconductor space, we're tracking a clean room opportunity with an existing client. Finally, we continue to advance the design for a data center in the US under the master services agreement we signed last year with a major technology provider. In Mining and Metals, we received a services award for the Reko Diq copper gold project in Pakistan. This award is a precursor to future EP and CM support services on this project and it further cements our reputation as a world leader in large scale copper concentrators. Looking ahead, we see interest in green steel production, multiple opportunities with an existing aluminum client and increasing focus on projects to grow copper production in North and South America. Moving to Slide eight. In infrastructure, new awards include $682 million for a construction contract for TxDOT in the College Station area. The project involves widening a 12 mile stretch of highway from two lanes to three in each direction. This is a key commuter and commercial route for the state. Construction is set to begin this summer. The Gordie Howe project is now 96% complete, and we're on track to hand over the US port of entry in July, getting us closer to our completion date this fall. Moving to Energy Solutions, please turn to slide nine. Segment profit was $47 million compared to $68 million a year ago. Results reflect projects nearing completion and a reserve related to a long completed project at our joint venture in Mexico. This was partially offset by increased profit recognition on the chemicals project due to a client directed change in scope and its impact on profit take up. New awards for the quarter totaled $315 million and included additional pre FEED services for the Aramco petrochemical facility in Saudi Arabia. In April, we learned of Dow's decision to slow down construction site activities on their Path to Zero project due to market and financial considerations. Dow has instructed Fluor to complete home office engineering and procurement efforts to enhance construction readiness in advance of equipment deliveries expected in the coming quarters. Dow has stated that they remain committed to completing the project. On LNG Canada, field progress is advancing to the final stages with 782 out of 837 systems having achieved mechanical completion. In recent weeks, the project received an LNG commissioning cargo to facilitate equipment testing and cool down of the facility. This marks another important completion milestone. I'm increasingly confident in the progress made by our team as we enter the final stretch of this project. Our next significant milestone will be the achievement of ready for startup on Train one, which will enable the client to start producing LNG. Prospects for the next few quarters include a chemical recycling plant and a gas compression project. Moving on to Slide 10. Mission Solutions reported segment profit of $5 million for the first quarter compared to $22 million a year ago. Results reflect a reserve of $28 million stemming from a recent ruling on a long standing claim related to a support services contract completed in 2019. We were also informed that we lost the recompete for the strategic petroleum reserve, a project that Fluor has managed over the past 11 years. If we're unsuccessful in our protest, we would transition to work in the second half of this year. New awards of $164 million included bookings for the DOE, FEMA and the Army. Ending backlog for the quarter was 2.4 billion. Over the next few quarters, we expect to hear about the full release of the Savannah River Plutonium pit facility as well as several strategic opportunities in the national security space. Before I turn over the call to John, I wanted to share a few observations from my interactions with clients over the past few weeks in the context of the current economic sentiment. Our clients are always looking for the best way to deploy their capital on projects. Decisions include where to build, the size of facilities, the best supply chain solution and the timing of projects. Fluor's grow and execute strategy and supply chain acumen position us well to support these efforts, whether domestic or international. We're seeing clients forge ahead with their projects where there is a clear time to market driver. They're not slowing down. However, there are some clients that are more sensitive to cost and GDP growth, and they require further market clarity and cost certainty before committing to final investment decisions. Nonetheless, these clients continue to issue work releases to advance the underlying engineering and design until full project awards are signed. Looking at our remaining new awards outlook for this year, we are already engaged and providing services on over 90% of underlying award revenue. Let me now turn the call over to John for the financial update. John?
John Regan: Thanks, Jim, and good morning, everyone. Today, I'll review the results for the first quarter and go over guidance for the balance of the year. Please turn to slide 12. Jim already referenced revenue and new awards for the quarter, but our consolidated segment profit for Q1 was $131 million. Our GAAP results notably reflect four items. First, a $15 million reduction in Urban Solutions margin due to forex between the US and Canada on the Gordie Howe project. Second, the Mission Solutions item from 2019 that Jim talked about, which amounted to $28 million. This matter still requires another hearing to determine an award amount, so results reflect our current best estimate. Third, the $22 million reserve that Jim also mentioned related to a long completed project at our joint venture in Mexico. And fourth, the $14 million for other negative income impacts of FX, including the embedded derivative in Mexico. Adjusted EBITDA for Q1 was $155 million compared to $88 million a year ago. Our adjusted EPS was $0.73 compared to $0.47 in ’24. Adjusted results for ‘25 exclude those four items I mentioned, except for Gordie Howe. Now all of that is detailed in the tables to our earnings release issued earlier today. G&A for the quarter was $36 million down from $59 million a year ago. This reduction was primarily driven by compensation that is stock price sensitive. Net interest income in Q1 was $17 million compared to $35 million in Q4 and $39 million a year ago. This results from lower cash balances for projects nearing completion as the advance payments we had collected were used to fund our obligations to subcontractors. This is especially relevant for a couple of our JVs. Moving to slide 13, we had $2.5 billion of cash and marketable securities at March 31, a decrease of just over $400 million from year end, which is mostly attributable to our share repurchase program, increased working capital on a couple of our larger projects and the typical cash flows for the first quarter, including incentive payments for the prior year. Operating cash flow for the quarter was an outflow of $286 million compared to an outflow of $111 million a year ago. This results from the working capital growth on the projects that I mentioned, though some of that has normalized in April, the incentive payments and separately timing of AR collections and Mission Solutions. Also 2024 cash flow included a $40 million positive effect from NuScale, which was still consolidated at that time. For our legacy infra projects, in Q1, we provided $70 million in funding. As a reminder, due to our JV ownership structure, most of this is reflected as an investing activity and not in operating cash flow. Our expectation of funding about $200 million on legacy projects for all of 2025 remains unchanged. During the quarter, we recognized an $84 million positive benefit related to the settlement of a jury verdict that had been rendered against an infra JV in Q4. As a reminder, this project was completed over 12 years ago. With this settlement, we consider our remaining P&L exposure to be closed. As you may recall, this item is reflected in equity method results in our P&L. Separately, equity method also reflects the mark to market of our investment in NuScale, which was a $477 million negative in Q1 as their stock price slipped from approximately $18 to just over $14 though they have recovered to around $17 through yesterday. Finally, as a point of reference, our adjusted results exclude both of the equity method items. Switching to capital returns, our organic cash flow generation continues to underpin our objectives in this area. In line with our previously announced share repurchase program, we seized upon the dip in our share price by repurchasing 3.6 million shares during Q1 spending $142 million. We now anticipate up to 600 million in repurchases for all of 2025 including approximately 150 million in Q2. We'll continue to leverage our robust financial foundation to pursue the most advantageous capital allocation opportunities for our shareholders, whether that is through reinvestment in the business, repurchasing shares, executing bolt on acquisitions or other forms of capital return. Moving to guidance on slide 14. We are holding to our 2025 adjusted EBITDA guidance of $575 million to $675 million and our adjusted EPS guidance of $2.25 to $2.75 However, EPS may be impacted by the ultimate tempo of our share repurchase activity. Our expectations for operating cash flow remain between $450 million and $500 million. Key assumptions for ‘25 continue to include a new awards book to burn ratio above 1, revenue growth of approximately 15% as well as the other guidance listed on the slide. We also maintain our CAL25 segment margins of approximately 4% to 5% in urban, approximately 3.5% to 4.5% in energy and approximately 5% to 6% in mission. As a final modeling note, through our lens, the effective tax rate in Q1 was approximately 20%. This is illustrated on page 20 of the 10-Q. Over the course of 2025, we expect this rate to climb closer to 30% for the full year based on where we execute the projects in our backlog. And with that, Ian, we're ready for our first question.
Operator: Our first question comes from the line of Michael Dudas with Vertical Research Partners. Your line is open.
Michael Dudas: Jim, maybe to further elaborate on your prepared remarks on your discussion with clients. So relative to maybe the fourth quarter conference call, our meeting in Indiana in April and today, the change of sentiment tender amongst the clients, which clients are more sensitive relative to ones that are more time to market? I assume it's the much of the urban solutions area, but maybe a little bit more sense on that. And your comment about your new business award opportunities and you're working for that, that 90%, how that would reflect relative to maybe other periods of time in Fluor's history?
James Breuer: Yes, we have been engaging with our clients at various levels including the very senior levels of our key clients. And I would say that most of the projects in the markets we're tracking- the fundamentals of those projects are still there, whether it's the time to market projects and you're correct, they're mostly in the urban space, particularly in the ATLS space. Those for sure are moving forward. But even the other ones that are more price sensitive and GDP growth and market certainty, those still have very sound fundamentals behind them. What those clients are looking for is certainty in the environment. I think you I mean, it's no surprise that the entire business community is watching very carefully what's happened with the trade negotiations when we're hopeful that there's going to be some good news on certain fronts in the coming days and weeks so that we can start seeing some clarity in broader picture. But projects in energy, projects in copper, I would say are requiring a little bit more certainty, whereas projects in the ATLS arena and project in the Mission Solutions space, I would say have greater clarity today and are proceeding as planned. As far as our pipeline of prospects for the near term, the 90% comment on the underlying awards, Mike. It's similar to previous cycles in Fluor. Maybe it's perhaps a little bit higher. We have spent a lot of effort in the last few quarters, a couple of years in the strategy to really focus on quality pursuits and bet on feeds that we think have a high conversion to EPC MEPC. So we feel good about that 90%. Some of that already materialized in Q1 and we expect that trend to continue in the coming quarters.
John Regan: Maybe on the clients that are a little more price sensitive, I'm not sure our procurement groups ever been busier in terms of price refreshing on the projects. So we are there alongside our customers as they're trying to put a finer point on project estimates and moving towards their FIDs.
Operator: Our next question comes from the line of Jamie Cook with Truist Securities. Your line is open.
Jamie Cook: Thank you for the additional disclosure on the earnings call and in the press release, it was helpful. I guess my first question, I can't believe I'm asking this, but if I look at your EBITDA for the first quarter, it was 155, if we just multiply that by four, you're at the high end of your EBITDA guidance for the year. And I guess, how much conservative would you say there's in your numbers? I mean, I'm just looking at your revenue growth has to accelerate in the remaining three quarters for you to make your 15% top line guide. You know what I mean? So it implies your EBITDA should be growing from the first quarter level. So I guess I'll start that with my first question.
James Breuer: Yes, we got some stage counsel on how to improve our earnings release. So thank you and thank you for that. So I think as you're thinking about the shape of the EBITDA curve, the one thing that we couldn't have predicted was the behavior of our stock price. And so as I mentioned in the prepared remarks, we had a significant tailwind, unfortunately for us in terms of the executive compensation results associated with our share price. And so you should think about roughly $0.08 or $0.09 of adjusted earnings or EPS attributable to that. So that kind of distorts the shape of the curve. And so I don't know that it's conservatism. I think we remain confident in the outlook for the year. And I would say when you probably normalize for the share price impact puts us a little more squarely in the midpoint of that.
Jamie Cook: And I guess just my second question on [indiscernible] started out sort of in the hole in cash flow for the first quarter, but you doubled your share repurchase authorization, maintained your cash flow guide. I'm just wondering if there's opportunities on upside on the cash flow guide, whether it's coming from funding less of those legacy projects, if you could just characterize?
James Breuer: Yes, I'll tackle that, Jamie. I think you've cracked up a little bit on our end. But in terms of where the cash flow guide is, Q1 performance and ultimately the impact on share repurchases. Again, we're signaling some confidence in where cash flow generation is. As I suggested in the prepared remarks, we did see a little bit of an uptick in April in terms of working capital conversion to cash. And so underpinning kind of the uplift from the $300 million to the $600 million of share repo, you should consider our confidence in the outlook as part and parcel to that. I don't know if I missed anything.
Operator: Our next question comes from the line of Andy Kaplowitz with Citigroup.
Andy Kaplowitz: I just wanted to follow-up on Jamie's question on one sense. I think you said you're more comfortable, it's obviously a big range for EBITDA and EPS, like you're more comfortable maybe the midpoint after a strong start. But how do we think about the second half of the year given the slow decision making that you I think Jim, you mentioned the Dow project delay, the recompete loss in Mission Solutions. Do we need to worry about like underutilization in the second half? Or there's enough projects in terms of that book to bill still being over one that you can sort of fill the gap?
James Breuer: Yes, Andy, let me start and maybe John can chime in later. Let me start with the Dow project first. Dow came out and very clearly explained the reasons for slowing down construction activities or not slowing down engineering and procurement, and it had to do with a combination of decisions around their market, the timing of the pricing of their products and so on. We don't think we're not seeing a trend of that in our other clients, Andy. Have people who are having yet FID projects are expecting or looking for further clarity and certainty. But we're not seeing a trend. And because we're involved on these projects and like John said, we're working hand in hand with our clients with these mitigation strategies around the tariffs and other factors. We feel pretty strongly about the quality of the backlog and our ability to convert. The exact timing of the conversion may be a little uncertain. Maybe they push out just a tad, but we're not expecting significant underutilization compared to what the baseline was, say, a month or two ago. John, anything you'd like to add?
John Regan: Yes. I think a couple of points. One, just part and parcel of our execution strategy is an early buyout on the procurement front. So the things that are in backlog and ongoing tend to- it's our belief that they're going to continue moving forward. And then maybe Jim's prepared remarks was also hinting at kind of the earnings potential of the backlog. So even as things are slowing down, we are performing work on the vast majority of the things we see coming. And so from an earnings potential kind of unmitigated there, but obviously a little bit of disruption on the new award front.
Andy Kaplowitz: Very helpful, guys. And then you kept guidance of still book to bill over one times as you said. Jim, maybe you talked about some things that maybe need a little bit more time to get through, but confidence level on sort of end markets that can go through the fastest? Or where do you get the confidence to continue to sort of tell us book to bill over one? Is it a couple of chunky projects? Is it a couple of particular end markets? Where does the confidence come from given the macro uncertainty?
James Breuer: Andy, the confidence comes in our close collaboration with these clients on the front end work. And you look at whether it's copper, whether it's further additional pharmaceutical work, whether it's data centers. There's a midstream compression project in the US. There's a sustainable chemicals project. There's a project with a power and LNG component feeding a new power plant. These are real projects with clear economic incentives. Some of it is US based, some of it is international. So our diversification is helping us. There are some large opportunities out there. I'll remind you of SRPPS, that's a significant opportunity we're tracking that as part of the plan. So we have high confidence that there is a compelling need for our client to move forward with that project. So despite the nervousness in the markets, some of these key strategic pursuits we feel are solid enough and have a compelling enough reason that we feel good about it. Of course, the tariff story, Andy, is a developing story. It's still out there. We would like to see clarity on that in the short term one way or another. I think the market will adjust to that. But I think that there needs to be clarity coming forward. But having said that, I think most of our key prospects have very strong footing underneath them.
Operator: Our next question comes from the line of Andy Wittmann with Baird. Your line is open.
Andy Wittmann: And first thing I wanted to ask about was making sure that I heard something correctly related to the Urban Solutions segment and the $84 million benefit that you recognized during the quarter. Did I hear it correctly that that's an equity income and therefore not reported in that segment profit results. Is that right, John?
John Regan: You're spot on.
Andy Wittmann: And therefore it was added back or excluded from your adjusted results. Is that right?
John Regan: Yes. $84 million is not in the $155 million to be super clear.
Andy Wittmann: Yes. And it's not in the urban segment either. It's below the line. That's helpful. So then you talked about how two projects that got descoped were allowed you to because you're therefore farther along in your percentage of completion on these two projects, it allowed you to, I guess, accelerate some profit recognition into this quarter from the descoping process. You have to love E&C accounting. Could you tell us either by segment for urban and energy where those, I think two projects, resided one in each? Could you tell us either individually per segment or in total how much benefit that POC change afforded you in the quarter? I think this will help all of us get at Jamie's question that she asked about the kind of underlying EBITDA run rate.
John Regan: So the first thing I'd probably point out is that we were expecting the burn across both of those projects across the balance of ’25. Maybe there was a small impact to ’26. So the pull forward is not in as much as you may think of it as a onetime event, it was always kind of inside of our 2025 thinking. But you should think about those as around probably $0.09 of EPS in both of the segments directionally.
Andy Wittmann: Got it. Just because your tax rate is always jumpy here, what would that be on an EBITDA basis?
John Regan: So you're probably looking at around $20 million each.
Andy Wittmann: Okay. $20 million each. So for a total of $40 million then?
John Regan: Yes.
Andy Wittmann: Then just on cash flow.
John Regan: Andy, let me stop So as we're thinking about it, I know you look at it through a slightly different lens. So I think about the 40 is kind of the credit amount. A certain portion of that would have been inside the frame for even Q1 thinking. So it's probably a little bit lower than that. But we're seeing-
Andy Wittmann: Yes, it's spread out over the year. That makes sense. We're out of the year. It's 40, It could have been maybe 10 already here and 30 for the rest of the year, be straight lining it kind of
John Regan: Yes, there you go. Well done.
Andy Wittmann: Yes, that makes sense. Okay, thanks for that clarification. I also wanted to ask about North Texas. It looks like that project has resolution and you recognized it, I guess in fourth quarter and some offset here for a net impact. But another complexity of E&C accounting here, it looks like the settlement was actually like $400 million to the joint venture, but you took a benefit here in the quarter that we're talking about here for the tune of $84 million. Question is not so much on the income statement here, but I guess the question is, has the cash already been exchanged for this? Is that done as of the balance sheet that we see today? And if not, how much cash is going to be associated with this when you finally get out of that cash position and when?
John Regan: Yes. So I was very hurtful in remarks to say we've closed out the P&L but we will need to fund that in the balance of ‘25 and you should think about it in the $30 million range. Okay. That's helpful.
Andy Wittmann: Okay. Those are all my clarifying questions. That's helpful. Great. Thank you so much for helping clarify those things.
John Regan: Thank you. It's certainly assumed in the operating cash flow guidance that I rendered.
Operator: Our next question comes from the line of Judah Aronovitz with UBS.
Judah Aronovitz: What exposure is left at Mexico on legacy projects and ongoing work that could cause any margin drag?
James Breuer: Our joint venture in Mexico has a portfolio of projects with Pemex. Some are very close to completion. Some are in the middle of execution. We feel good about those projects. They're active and they're strategic projects for the country. The LNG project we've been talking about last year, that's proceeding well and we don't expect any additional surprises there. The announcement we made in this call around Mexico had to do with a project that was completed many, many years ago. And so that was a decision we made to take that reserve. But other than that, I think we're in good shape in Mexico.
John Regan: Yes. I would agree. It's probably four major ongoing projects down there, at least half of which are probably in the ninth inning and maybe late middle innings on the other. So again, to the exposure question, we don't feel like there's a lot of forward-looking exposure.
Judah Aronovitz: Okay, thanks. And then just on cash, what is the cash collection potential from JVs this year?
James Breuer: I would say probably a little bit lower than last year. Certainly, we're sort of expecting to recoup some of the profits out of Canada with a little more confidence than we are in Mexico. But again, all of that subsumed in the cash flow guidance that we published today.
Operator: There are no further questions at this time. I'd like to hand the call back over to Jim Breuer for some closing remarks.
James Breuer: Thank you, Ian, and many thanks to all of you participating in the call today. As you can see, we had a strong first quarter and a successful launch to our Grow and Execute strategy. I want to thank I want to take this opportunity to thank David and Joe for their service and leadership. We look forward to working with David in his new capacity as Executive Chairman and wish Joe the best going forward. And to our audience, we appreciate your interest in Fluor and thank you for your time.
Operator: This concludes today's conference call. You may now disconnect.